Operator: Hello and thank you for standing by. I would like to welcome everyone to Business First Bancshares, Inc. 2025Q1 earnings conference call. I would now like to turn the call over to Matt Sealy, Senior Vice President Director of Corporate Strategy and FP&A. Mr. Sealy, the floor is yours.
Matt Sealy: Good afternoon, and thank you all for joining. Earlier today, we issued our first quarter 2025 earnings press release, a copy of which is available on our website along with the slide presentation that we'll reference during today's call. Please reference slide three of our presentation, which includes our safe harbor statement regarding forward-looking statements and the use of non-GAAP financial measures. Those of you joining by phone, please note the slide presentation is available on our website at www.b1bank.com. Please also note our safe harbor statements are available on Page seven of our earnings press release that was filed with the SEC today. All comments made during today's call are subject to the Safe Harbor statements in slide presentation and earnings release. I'm joined this afternoon by Business First Bancshares, Inc. Chairman and CEO, Jude Melville, Chief Financial Officer, Greg Robertson, Chief Banking Officer, Philip Jordan, and President of B1 Bank, Jerry Bastogue. After the presentation, we'll be happy to address any questions you may have. And with that, I'll turn the call over to you, Jude.
Jude Melville: Great. Thanks, Matt, and good afternoon to everybody, and thank you for spending the time with us today. We know you have choices to make, and we appreciate your prioritizing our company. At a high level, we were quite pleased with the first quarter's results, most of which exceeded expectations. One of our guiding principles is centered around striving for continual incremental improvement, and we were able to demonstrate that concept in action on a number of fronts. Profitability continues to be consistent with core ROAA core exceeding 1%. Officers are doing a good job of selectively holding the line on loan yields, with weighted average new and renewed yields of 7.71% during the first quarter. While overall cost of funding continued its downward trend, leading to core net interest margin expansion of eight basis points for the linked quarter. We benefited from a continued build in capital levels with our TCE now exceeding percent while our consolidated TRBC ratio exceeds 13%. While there was positive movement in our AOCI exposure, the bulk of the capital came through retained earnings. I'm especially proud of our continued focus on expense management with another quarter of better than expected expense trends. While continuing to execute on material IT and infrastructure investments, leading the efficiency ratios continuing to move in the right direction, a trend we expect to continue. Noninterest revenue is contributing meaningfully to bottom line profitability with another quarter of strong swap fees, and SBA loan gains on sales as well as contributions from various SPIC investments being the main drivers of continued growth in aggregate noninterest income. As a reminder, we closed the acquisition of Oakwood Bank in Dallas, Texas on October 1, of last year. To date, the integration has proceeded as expected with conversion set for September of this year. We're very pleased with the cultural fit of the former Oakwood team, the most important component of any successful acquisition. Returning to our theme of incremental improvement and expense control, I'd like to direct you to page in the IP. It shows our current branch network, which we remain focused on optimizing. As a part of that ongoing process, on April 4, we closed the sale of our Kaplan, Louisiana branch, which included the sale of approximately $51 million in deposits at a deposit premium of 8%. I do want to discuss balance sheet growth and credit as well even though they weren't on surface level as positive as some of our other trends. We did experience modest negative credit migration during the quarter, primarily due to two C and I relationships. I'll let Greg provide more detail on these in his report. However, we continue to feel good about the credit quality of the broader portfolio even as metrics continue to normalize. The balance sheet contracted during the quarter with loans effectively flat on a linked quarter basis, while deposits decreased $53 million. On the loan side of the equation, we continue to be biased towards net interest margin over volume, a stance we believe to be prudent in today's uncertain environment. And I'm proud of our maintaining our profitability levels without relying on loan growth. So I will say we feel good about our pipeline in the second quarter. It's worth noting that paydowns and payoffs were materially higher during quarter one than we typically experience, primarily due to a handful of larger construction loans resolving. On the deposit side, recall that last quarter, we experienced a large net influx of core deposits due to the seasonality around public and municipal funding. Some level of runoff was expected to occur during the first quarter. And if you were to look at Q1 2025 and Q4 2024 on a combined basis, total organic deposits excluding liquid, would have increased $144 million or 5.1% annualized from February. All in all, it was a healthy foundational quarter to start the year. I don't know that we've had the opportunity to operate in any extended period of certainty over the course of our tenure as a public company, which began in February 2018. And, yeah, we've consistently found a way to not only navigate the challenges of our industry and the challenges our industry and country have faced, but have continued to grow and strengthen our franchise throughout these challenging times. Entered the second quarter better reserved, better capitalized, more diversified in credit exposure, and revenue sources, and more experienced than any time in recent memory. I'm confident that our team is prepared to continue not only navigating but building improving, and indeed thriving as 2025 unfolds. Thank you again for your time. And with that, I'll turn it over to Greg.
Greg Robertson: Thank you, Jude, and good afternoon, everyone. As Jude mentioned in his remarks, the first quarter marked a strong start to the year. I'll spend a few minutes reviewing our results and discuss our updated outlook before we open up to Q&A. First quarter GAAP net income and EPS available to common shareholders was $19.2 million and $0.65 and included $155,000 gain on former bank premises, $630,000 gain on extinguishment of sub debt, and a $679,000 acquisition-related expense. And also a $216,000 core conversion-related expense. Excluding these noncore items, non-GAAP core net income and EPS available to common shareholders was $19.3 million and $0.65. From our perspective, first quarter results were highlighted by good expense management, strong fee income, and solid margin expansion. Total loans held for investment remain relatively flat on a linked quarter basis down just $480,000 as payout and payoffs were elevated during the first quarter. Specifically, total scheduled and nonscheduled payoffs paydowns totaled approximately $500 million which matched total new and renewed loan production of $500 million as well during the quarter. Real estate construction loans decreased $36.8 million from the linked quarter compared to an increase of $49.8 million from the linked quarter of real estate. Residential loans, largely due to conversion of multifamily construction to permanent financing. Based on unpaid principal balances, Texas-based loans remain flat at approximately 41% of the overall loan portfolio as of March 31. Total deposits decreased $53.2 million mostly due to net decreases in noninterest bearing deposits of $48.7 million on a linked quarter basis. The net decline was primarily driven by customer withdrawals as opposed to full account closures. I think it's noteworthy that while net deposit balances declined from the fourth quarter, we did manage to generate approximately $380 million from new deposit account relationships. I also think that it's worth noting that the decline in deposits during the fourth quarter was not completely unexpected. Recall, the prior quarter benefited from seasonally strong deposit inflows which we did expect would roll out to some extent during the first quarter. Lastly, on the topic of deposits, on April 4, 2025, as Jude mentioned, we completed the sale of a South Louisiana branch to a local community bank. Total branch deposits, loans, and fixed assets net depreciation were $51.2 million, $23 million, and $1.4 million, respectively, and were included within the consolidated balance sheet as of March 31. The negotiated deposit premium of 8% was recognized in conjunction with the closing of the transaction on April 4. We also managed to modestly delever the balance sheet during quarter one by repaying approximately $39 million of short-term FHLB advances and $7 million of subordinated debt. Lastly, I'd also like to call out our linked quarter increase in contingent liquidity of approximately $600 million. Our GAAP reported first quarter net interest margin expanded seven basis points from the linked quarter from 3.61% to 3.68%. While non-GAAP core net interest margin excluding purchase accounting accretion, increased eight basis points during the quarter from 3.56% to 3.64%. Both GAAP and core margin for the first quarter continued to expand due to improved funding cost and disciplined pricing on new loan production, which Jude mentioned previously. I think it's worth noting that our total down cycle to date interest bearing deposit beta for the first quarter was 54%. Assuming no rate cuts until the second half of 2025, we would expect deposit costs to remain relatively flat in the near term but will be affected by our ability to retain and attract lower costs funding and noninterest bearing deposits. First quarter funding costs benefited from a full quarter of the Federal Reserve's November and December rate cuts, we are pleased with our ability to manage down our deposit rates. Total interest bearing deposits cost declined 18 basis points from the linked quarter highlighted by 26 basis points quarter over quarter in reduction in overall money market deposit and 17 basis points reduction in overall cost of time deposits. Notably, the weighted average total cost of deposits for the first quarter was 2.69%, down 12 basis points from the linked quarter. Our March weighted average cost of total deposits came in at 2.66% showing improvement. While further improvements in funding costs are subject to the Fed's interest rate decisions, we remain encouraged by this trajectory. I would like to make a note of a few key takeaways to slide 21 in our investor presentation. We continue to see 45% to 55% overall deposit betas as achievable. Would also like to point out that our overall core CD balance retention rate was 83% during March. That impressive statistic reflects our team's continuing focus on maintaining and retaining core deposit relationships. As you will also see on slide 22, we have approximately $2.7 billion in floating rate loans at approximately 7.67% weighted average, but also have approximately $570 million in fixed rate loans maturing over the next twelve months at a weighted average of 6.06%, which we would expect to reprice in the mid to high 7% range. Last thing I want to add is our expectations for loan discount accretion to average approximately $750,000 to $800,000 per quarter going forward. Moving on to the income statement. GAAP noninterest expense was $50.6 million and included $679,000 of acquisition-related expense and $216,000 in conversion-related expense. Core noninterest expense for the quarter of $49.7 million increased approximately $700,000 linked quarter primarily due to the partial merit impact as well as FICA and bonus accrual resets. We expect a continued increase in core expenses in upcoming quarters, mostly due to the full quarter impact of our Q1 merit salary increase as well as continued investments in IT and infrastructure. We think the current consensus outlook for core expenses in the low $50 million range per quarter is reasonable. I would, however, like to remind folks that given the late 2025 conversion of Oakwood, we expect to have any material cost savings on that transaction till later in the year. First quarter GAAP and core noninterest income was $13.2 million and $12.4 million, respectively. GAAP results did include $155,000 gain on a former bank sale and $630,000 gain on an extinguishment of sub debt mentioned previously. Noninterest income results for the first quarter did come in slightly better than we had expected and were driven by strong SBIC income and SBA loan production and sales. Due to the unusually high contributions from equity investments, income and SBA in quarter one, we would expect a slightly lower run rate in the near term. Over the long run, we do continue to expect an upward trend as we've mentioned on calls in the past, our core noninterest income. Although their trajectory may be bumpy from quarter to quarter. Lastly, I'd like to provide some context to credit migration that Jude mentioned earlier. During the first quarter, NPAs increased 27 basis points from 0.42% in Q4 to 0.69% in Q1 with the increase driven by two C and I relationships totaling $8.4 million. Annualized net charge offs decreased from 0.04 basis points from 11 basis points in Q4 to seven basis points in Q1. Due to the deterioration in two relationships during the quarter, we have elected to reserve $2.3 million against the credits. One of those credits is fully reserved, and the other credit is about 25% reserved. We believe these were isolated issues and do not expect any broad-based decline in further credit quality across the portfolio. With that, that concludes my prepared remarks, and I'll hand the call back over to Jude for anything you'd like to add before opening up to Q&A.
Jude Melville: That's great. Thanks, Greg. I don't really have anything to add before we hit the questions. Look forward to hearing from you all. Thanks again for being with us.
Operator: I am ready to open up the queue.
Operator: Sorry. Thank you. As a reminder, if you'd like to ask a question, please press star and the number one on your telephone keypad. Again, that is star and the number one on your telephone keypad. And our first question comes from the line of Matthew Olney from Stephens. Your line is open.
Matthew Olney: Hey. Thanks. Good afternoon. I'll start on the loan side. I think the loan balances, as you mentioned, were flat because of the higher payoffs during the quarter. But based on that commentary, it sounds like the pipelines are healthy. But also we have to layer in some macro uncertainty. So we would just love to hear your thoughts on, you know, internal expectations for loan growth for 2Q and the back half of the year?
Greg Robertson: Hey, Matt. Thanks for calling in. Thanks for the question. Yeah. I think for going forward, we expect loan growth. We're happy with the pipeline. We expect to continue our low to mid single digit forecast, you know, quarter over quarter. You know, that'll probably put us somewhere in the lower single digits by year end because of the flat first quarter, but we feel good about the pipeline and still, you know, continue our strategy of growing within our retained earnings.
Matthew Olney: Okay. Appreciate that, Greg. And then on the core margins, another quarter of really strong improvement there. Based on what you see today, would love to hear any updated thoughts around the core margin and how that could progress throughout the year.
Greg Robertson: Yeah. I think we expect to continue to grind out some improvements on margin, probably more in the low single digit basis points here going forward. You know? Think we're gonna expect to achieve the eight basis points expansion, you know, in the future quarters just because of the interest rate uncertainty going forward and some real deposit pressure we're seeing in the market. So that's kind of where we feel about it.
Matthew Olney: And just to clarify, Greg, that low single digits margin expansion, that was kind of a quarterly assumption over the next few quarters. Is that fair?
Greg Robertson: That's correct. Yeah. That's correct, Matt.
Matthew Olney: Okay. Perfect. And then just lastly for me on the fee side, another really nice quarter. I think SBA sales were really strong. It sounds like you think that the quarterly fee progression just slowed a little bit in the near term. Just want to make sure I understand the puts and takes around that.
Greg Robertson: Yeah. I think what's reasonable to expect is that's gonna be, you know, from an eleven and a half to twelve on a quarterly basis going forward. As compared to the twelve four, you know, GAAP number this quarter. You know, if you think about we had a SBIC income that was about $700,000, a little more than that for this quarter, and that, you know, those are hard to predict when they'll come in. And obviously, the SBA and the swap income that we're building is somewhat lumpy, but we're pleased with the scale that we're seeing. We feel really good about the muscles that we've been developing, and this front over the past year in particular. You know, we did partner with Waterstone last spring who was the SBA loan service provider, and you know, anytime you bring somebody in, it takes a little while to make sure that we all are talking the same language and pointing the right direction, but the directional improvement over the past five quarters has been pretty significant and then not only quantitative, but qualitatively, we're just our bankers are much more comfortable talking about the product. And navigating the systems in the right ways. So we do think the first quarter was outperformance from the SBA perspective. But we do think we've reached a level of just slightly below that that we could feel as kind of a new base for us, which is exciting. And I would say same is true on the swap income. Fourth quarter was outperformance there, and first quarter was probably more typical. So between the two, we feel those two being our biggest drivers. We feel optimistic about the ability to continue to improve that incrementally over the course of the year.
Matthew Olney: Yeah. Well, definitely a nice start to the year. I'll step back. Thank you, guys.
Greg Robertson: Thanks, Matt.
Operator: Thank you. Our next question comes from the line of Michael Rose from Raymond James. Your line is open.
Michael Rose: Hey. Good afternoon, guys. How are you?
Jude Melville: Hey. Good, Mike.
Michael Rose: Good. Thanks for taking my questions. So I think if I heard you right, the branch sale, I think you came with about $51 million deposits, so that would render kind of deposit growth kind of flat. Can you just talk about, you know, any moving pieces on the acquired balances this quarter versus core? I think you did that for loans. Set up for deposits. I missed it. And maybe, you know, some of the expectations as we think about the next couple quarters, for deposits. Growth? Thanks.
Greg Robertson: Yeah. Yeah, Michael. We'll give us a second to pull the actual organic. So what we were referencing, Raju had mentioned, in his comments was what the organic deposit growth would have been over the trailing two quarters annualized. Just simply saying, you think about the influx that we had at year end from the municipalities and public funds, if you were to look at it on kind of a two quarter basis because that rolls in and then we'll roll out some. We did provide the two quarter annualized organic piece for the deposit side. Don't have that at our fingertips on the loan side, but that was the rationale was to just simply say, you look at it on the trailing two quarters simply because of that large flux at the end of the year, we did expect that runoff. That's why we thought it was important to provide that context. So give us a minute. We can try to find what the organic piece would be over the trailing two quarters.
Jude Melville: I think the other part of your worries is think the other part of your question, Michael, was about the April. So that would not have been reflected in the deposit movement in the first quarter. We were just kind of previewing that movement, which will help which will make it more likely that we're flattish in the second quarter. Because we made that decision to focus on the operational expense control. And we were able to do so partnering with a local community bank we were proud to be able to help them and did so at a good deposit premium. So really a win-win. But that was for the second quarter, not for the first quarter.
Michael Rose: You got it. Okay. Sorry if I missed that.
Greg Robertson: No. No. No. You're fine because if you so if you think about second quarter, that's $50 million that we're kind of starting off in the hole in a sense on deposit side. So your point, Q2 might be a little more muted just simply for that fact alone.
Michael Rose: Got it. Very helpful. Maybe just separately on slide 31, just to, you know, some of the commercial real estate stuff. It looks like the special mention category is increased. You know, fairly meaningfully. I would assume some of that is related to the deal maybe, but just any color there and, you know, what you're seeing. Thanks.
Greg Robertson: Yeah. That's a great question. The credits that I've mentioned are C and I credits. They're not commercial real estate, but it's a good question, and it'll allow me to put some context around this, you know, the watch list and the special path special mention. You know, if you think about as a percentage of CRE loans, commercial real estate loans, the watch list is only about 6% of all CRE loans. And about 57% of that group are special mention or what we call pass watch, which could be downgraded in our risk rating system based on, you know, the rise in interest with the interest rate environment since origination, which would put some stress on debt service coverage. So that would be an example of that.
Michael Rose: Perfect. And maybe just finally for me, you know, nice move in intangible equity. I know you guys are gonna be building capital, pretty nicely here, once all the cost saves are realized. Any thoughts on capital return at this point, i.e., a buyback? Just would love some thoughts just given where your stock is trading and many bank stocks for that matter, but seeing more banks leaning to buybacks. At this point. Thanks.
Jude Melville: Yeah. I don't we certainly are always thinking about it as an option. I think we probably have a little more capital build to go before it would make sense just as we prepare for both opportunities and challenges over the next year, year and a half. And I think we're on good pace to exceed our expectations in terms of capital build for the year with a good strong start. But I think we still have ways to go before it's a realistic lever to pull. Now, of course, you know, things could worsen and maybe the opportunity becomes greater, and we always need to be open to analyzing the business case for different capital allocation decisions. But now, wouldn't expect that we're quite where we wanna be from a capital build standpoint.
Greg Robertson: Yeah. I mean, we've started to do the work on that. But to Jude's point, I think we're not quite there or not quite there from a capital standpoint. But, you know, if it presents an opportunity, the dilution and the earn back makes sense, we'll have the analytics done and be ready to move with it.
Michael Rose: Makes sense. Thanks for taking all my questions. I'll step back.
Greg Robertson: Thanks, Mark.
Operator: Thank you. Our next question comes from the line of Freddie Strickland from Hovde Group. The line is open.
Freddie Strickland: Hey. Good afternoon, guys.
Jude Melville: Hey, Freddie.
Freddie Strickland: Just asking, is there any areas in the loan portfolio that you're taking a little closer look at, maybe deemphasizing new growth just in terms of loan or collateral type with a thought to just future credit expectations or even rate?
Jude Melville: Yeah. And don't know if there's a particular area that we're looking to down scope significantly. You know, we have been working in particular the past couple years, on making sure that our CMD exposure was back within bounds that we felt comfortable with going forward. We were although we have a good track record of return on the C and D portfolio. We were about a hundred and twenty percent eighteen months ago ish. And down in the seventies now, which we probably continue on we will probably wanna continue down trending a little bit. But certainly not with the same kind of urgency that we displayed over the past eighteen months. So we have a more diversified portfolio than we've ever had, really, and that's type of loans and geography. And we've liked that and wanna continue to pick up opportunities where we can find them. So I wouldn't say there's a particular area that we're anxious to downshift in, but we wanna continue to stay balanced and continue to look for opportunities where we find them and get better at what we're doing. You know, part of we have a pretty high relative to a lot community banks. We have greater exposure in C and I. World, which is I think, a positive overall given the more relationship orientation that CNI loans tend to bring with them. But that also implies those smaller average exposures and assumes more execution demand. Not only for underwriting, but for performing over time with the C and I. So we'll continue to make sure we're building our systems internally to continue to be able to hold them. And I think our opportunity is more around getting better at it than moving away from it. Given all the investments that we've made over the past really, decade to move in that direction. We also spent the first half of our career at least perception from a perception standpoint, being overexposed to energy. And, you know, we're down below 2% now, and it's really a nonfactor there in terms of being overly concentrated. Which means that it's another area that we can just take it on a case by case basis. When we say energy, we still don't mean production-based loans. We're not doing reserve-based loans or exploration. We're doing C and I loans. We're typically for mom and pops and in our local communities. And I'm excited about the or proud of the vast improvement we've made. We were at a high of 20% six, seven years ago. And to be a little less than 2% really gives us more flexibility on that front to serve our better clients in better ways.
Freddie Strickland: Appreciate that, Jude. And just one more from me. Just I know you have a relatively new acquisition to digest here, but as we think out longer term, are there any markets in Louisiana you're not in that you'd want to be in longer term? Or would you consider looking to the East at some point either through a team lift out or acquisition? Or is it just Louisiana and Texas for the foreseeable future?
Jude Melville: Over time, we'll be open to the idea team lift outs, for now, we think we have plenty of opportunity to chase in Louisiana and Texas and, you know, we are already in the largest markets in Louisiana. Not to say that there aren't a couple or handful of markets that we would like to be in. Anywhere in Louisiana would be a bit of a fill in for us, which means a lower risk opportunity. And so we would be open to if it was the right team or the right M&A partner. Almost anywhere in Louisiana, again, would be either fill in or building on our existing leadership structure and, you know, Texas obviously is more open. We're primarily in Dallas and in Houston and, you know, all those being equal, the chances are we're gonna continue to fill in our current footprint. But that said, you know, we have been successful recruiting some folks from larger banks and those folks know books. And, you know, if there are opportunities to do team lift outs from time to time, we'll look at those. But number one priority right now is growing within our current footprint.
Freddie Strickland: Understood. That makes sense. Thanks for taking my questions. I'll step back.
Jude Melville: Thanks, Peter.
Operator: Thank you. Our next question comes from the line of Christopher Marinac from Janney. Or, Jenny, I'm sorry. The line is open.
Christopher Marinac: Thanks very much. Wanted to drill down on Dallas Fort Worth market and Jude or others what's the opportunity to grow organically their deposits? I feel like you're stable with Oakwood, and perhaps the conversion will you to the next chapter. But just curious on sort of new accounts there. And, you know, if that's a market that will sort of get tighter in terms of your loan and deposit relationship.
Jude Melville: Oh, that's certainly the intent. You know, we have 11 branches now between our organically developed ones and the Oakwood acquisition. We'll do in September. We'll do the conversion, and I think that makes it more likely that we'll be able to put an increased sales focus on the deposit growth in Dallas at that point. So I think getting to your own internal conversion and then the opioid conversion is probably a couple steps that we need to enact successfully or really position us to grow the deposit base there. But we have enough of a franchise critical mass in Dallas now that I would expect that over the next couple years, we would seek to narrow that gap. But I would point out the gap really isn't that bad. We've been able to grow organically there. We have focused more on our commercial clients there as opposed to retail, and so we have a higher percentage of non-interest bearing accounts. And less than we do in other markets. And so, you know, from a quality of or from a cost quality and cost perspective, we like our deposit franchise that we've been building in Dallas, and Oakwood was commercially focused and so has the same kind of dynamic. So we would seek to continue that. I would also say that I think one of the strategies that we've tried to enact over time is to have a diversified enough footprint between the urban markets and the more rural markets. That we can have each of the kind of two halves of our franchise support each other. And so it's certainly not, the end of the world for deposit base to come. Primarily from some of the slower growth markets. Our biggest deposit contributor over the past couple years has been our Southwest Louisiana. Market, which has just been stellar in terms of its deposit growth and that really has helped fund that gap and maybe all of that gap in Dallas. And I think our multiple markets working in concert is really the goal. With that said, yes, I do think we've have the opportunity now that we have a more built out branch network to drive more deposit growth in Dallas. And we're really at a point in Dallas where I don't anticipate needing to add a significant number of additional branches. You know, we have an office in Westlake now that is open, an LPO. And so over time, I'm sure we'll make that into a full service branch. But there really only a couple other spots in the market that we need to be in to feel like we have it covered. And so most of our infrastructure investment, I think, has been made and now it's more a matter of making sure that we're just working the production lines to be successful and be successful in a more of an organic value adding way.
Christopher Marinac: Got it. That's great. Thank you for that background. And then just to, I guess, a point that Greg made about new loan growth earlier in the call. Is the high sevens a good number to use for both C and I and CRE, or there are some nuances there when you kinda look at the type of loan production?
Greg Robertson: Yeah. I think the probably the reality is with C and I we'd be closer to seven. CRE is gonna be higher up, you know, up in the higher sevens. Just based on the structures we're putting together. Most of the C and I stuff tends to be, you know, variable price. And, the CRE has a little bit longer duration. So that's the way you can think about it.
Jude Melville: Yeah. One of our opportunities is, Jerry, speaks about often, if I do wanna mention it, I mean, we have room in our balance sheet now to do CRE and C and D even. But we wanna be sure that we're getting paid appropriately for locking up those dollars. So don't if you wanna mention that.
Jerry Bastogue: Thank you, Jude. I was gonna mention that. It's nice to see some really good work going on within the teams to differentiate between the types of clients that we've got so that we can, you know, maybe earn a little higher yield on the commercial real estate. They're not on our occupied stuff. And be able to compete even harder for a really high quality C and I. So we felt like it was important to put some, you know, you've seen over the last couple of years, we've invested in certain technologies, and we're trying to put tools in our bankers' hands so they know how to compete hard for the best clients out there and get paid inside that commercial real estate industry where we think there's some yield to be gathered. So looking forward to that.
Jude Melville: Yeah. And part of our algorithm for pricing now with some of the investments some of the IT investments that we've made with the CNI. But it's always we've always known theoretically that CNI brings with a deposit. Opportunities, which allow you to be a little more aggressive on the loan yields because of the overall relationship profitability. Now we're able to actually see that real time. And that's helping us price rationally based on the overall relationship. And not just the not just the type of loan in isolation.
Christopher Marinac: Right. Yeah. It's good context around each of those decisions.
Jude Melville: Yep.
Christopher Marinac: Understood. Great. Thank you both. I appreciate that great background.
Operator: Thank you. Our next question comes from the line of Manuel Navas from D. A. Davidson. The line is open.
Manuel Navas: Hey. Good afternoon. On your, NIM of kind of like a grind higher, you talk about its sensitivity to if we have a rate cut a spaced out rate cut just kind of your thoughts on MEN reaction. To a rate cut.
Greg Robertson: Yep. Manuel, thanks for the question. I think we think about 25 basis rate cut downward we would most likely pick up a basis point or two on top of that. Already expected, you know, low single digits improvement.
Manuel Navas: Okay. That's helpful. And you talked about the March deposit costs hitting a little bit below current levels. And the average level for the margin analysis. And there being kind of not too much more deposit costs cuts to come. Is that the right way to think about it without rate cuts?
Greg Robertson: I think that's right. You know, we're what we're seeing not only with the success we've had moving the pricing in the portfolio since the November, December cuts. Is just the liquidity in the space from a competitive standpoint. It looks like we're starting to see a few more offers of some higher rate competitive deposit offerings out there. So we think it's gonna be, you know, pretty tough from here on out. In the current rate environment.
Matt Sealy: Okay. Maybe we'll just a little bit of context there. I think that Greg mentioned the total deposit total weighted average deposit cost for just March was $2.66. That compares to the full quarter of $2.69. And then on the interest, just isolated interest bearing weighted average deposit cost for March 31. Versus full quarter of $3.35.
Manuel Navas: Okay. That's helpful. Yeah. Is that even impacting, like, CD renewals? Or some of those strong offers on CD renewals, or is that still an area that you're repricing them?
Greg Robertson: No. Well, I think there's a little bit of both. So there's, you know, pull through repricing on the CD book, which we've been at about an eighty-three percent success rate on that CD repricing. But you do have to deal with the one-off competitive pricing. You know? So we've seen some four sixties out there in that city. So it's out there, and it's real.
Manuel Navas: Okay. Switching over to kind of loan growth, I understand the pipelines are really strong. Is there you're still shooting for that kind of low single digits to mid single digits quarterly pace. How is that being impacted by sentiment? And kind of where could you hit the high end of that pace? And what would it take to is it something that something I could drive to the low end of that pace? Just kind of thoughts on the upside risk and the downside risk.
Greg Robertson: Well, I think for us, the reality is we typically, in Q2 and Q3, see that as it we have historically, those have been our higher growth quarters. So I would think if there's a likelihood of being on the upper side, it would be there in those quarters. And then down, you know, likelihood would be down in the fourth quarter. To the lower end of that single digit. Which landing probably because of the first part of the year was flat. More in the mid to low single digits annualized for 2025.
Jude Melville: I think also I would just add, you got those are our kind of internal patterns of development as a bank, but you've also got a lot of exogenous stuff happening in the environment and, you know, that may end up being an even bigger determinant of whether we're at the low end or a high end of whatever range you might wanna put on there. Think, you know, I think as far as where we end up with tariffs, we'll probably end up in a fine spot. But I think the pace at which we get to the end will matter. And the longer we have uncertainty, I think potentially, a couple more quarters towards the end of at the lower end ends of the range if being realistic. But I think if we can get some certainty and some clarification on where we go from here, then I think there is still a lot of potential momentum in the economy and particularly in our markets. And could end up being a banner year if we can just get back to business.
Greg Robertson: I'd also mention that a way to control growth is our course division. We've had good luck selling loans and with pay down the more neutral growth for us. There's a pent-up demand for selling loans as well. So that's an option we always wanna consider. As good looks when we get them.
Matt Sealy: Yeah. I'll add one more thing from a sensitivity to your question earlier, what would be kind might move a little bit. But one nice thing about our pipeline is there's pretty good balance on the C and I and commercial real estate. So the C and I tends to have some fluctuating loan balances on lines of credit, etcetera. Based on the needs of that client. So say that's one of the things we'll be watching is utilization on these new clients that are really great wins for us. But we're gonna have to get used to some of their patterns on their direct. So be good to watch.
Manuel Navas: That's really helpful. And seemed that in some of the discussion we've been talking about, the loan yields have stayed pretty steady. So the competition on the loan side, the pricing side hasn't gotten as irrational as a couple offers on the deposit side.
Greg Robertson: I think that's fair. I mean, that's a fair way to describe it. Deposits, the competition remains really heightened, and I think everyone's in the Mueller boat. Therefore, that on the credit side, we're not being pushed as much. It's, you know, we're I would say we see a little bit of downward pressure. That's why we've talked earlier about making sure we're really getting an appropriate return on anything we're doing. Because the very top clients probably are pushing a little more than we have been.
Matt Sealy: Yeah. I like how you phrased it as irrational. We are definitely seeing some else. I'm just trying to be disciplined with that.
Manuel Navas: Okay. I appreciate this. Thanks for the commentary.
Greg Robertson: Thanks, Manuel.
Operator: Thank you. Now our next question comes back from the line of Matthew Olney from Stephens. Your line is open.
Matthew Olney: Yes. Hi, guys. Just a few follow-ups here. On the credit front, those two non-accruals that you mentioned, I think, totaling around $8 million, think you mentioned you've got that specific reserve on them. Just any more color on these loans, kind of what drove the downgrade? Any color on the collateral and how quickly do you suspect the CLC resolution on these two credits?
Greg Robertson: Yeah. Well, one of them is an SBA loan that is fully reserved for exposure. And that one, because it's SBA, could potentially be a longer unwind. From for resolution on that one. The other one is a C and I loan that the collaterals receivables. So we're currently in the process of evaluating that position, not only internally, but also with an external firm that we've hired to do some evaluation. And, you know, that one the resolution is gonna take a little bit to play out on it as the customer seems to be willing to work with us. Right now. So, yeah, we'll hope for the best on that one.
Matthew Olney: Okay. Appreciate that, Greg. And then just lastly, on the M&A front, I know, Jude, you made some brief commentary earlier, but just would love some more general M&A commentary. I would assume the more recent M&A conversations have slowed. But from where you sit, Jude, what are your current expectations for industry consolidation within your footprint?
Jude Melville: Sure. Yeah. I think, you know, certainly, within the past month, I think the situation has changed enough that there's some pausing of conversations, and just a little wait and see in my comments about the range of loan growth being impacted by certainty around tariffs and things happening in the economy. Think, apply to obviously, apply to the stock market as well. And one of the primary drivers of M&A activity is where stock prices are. Right? So until we get a little certainty there and a little forward momentum, I think we're probably a little bit slow. I think the overall demographic circumstances that we've been describing for the past couple years. Are only either staying the same or accelerating in terms of CEOs getting older and finding different cost pressures to be not abating over time and I don't always, you know, even with the change in regulatory structure, I don't see a lot of the cost going away in the near term, and I don't see people getting younger. So I think there'll continue to be opportunities. And, you know, we're in a good position right now because we've got a good track record of partnering and I think we've developed a pretty good brand for being a good partner. Through acquisitions and but we also are at a point at which we don't have to do an acquisition and I think that's a good spot to be. So we'll be prepared as the opportunities come up and certainly we'll continue to talk to good people that we wanna partner with. But we also have tried to build this in such a way that we didn't have to do anything. And if it takes a little while longer for things to speed up, that's okay too. But I do think all the rationale that was in place to lead to increased M&A over the next year, two years, or generally still in place. And there's just a little bit of, hey. Let's just wait and see what how this shakes out the next few months. We, you know, as far as our ability to do another acquisition, I certainly think from an operational standpoint, we are capable and could be prepared to do it at the right the right partner presents itself.
Matthew Olney: Yeah. Okay. Alright, Jude. That makes sense. Thanks for your time. Appreciate it.
Jude Melville: Alright. Thank you.
Operator: Thank you. Seeing as there are no more questions in the queue, that concludes our question and answer session. I will now turn the call back over to Mr. Melville for closing remarks.
Jude Melville: Yeah. Just a couple of clarifications. I know Matt wants to clarify something for Michael Rose's question, I believe, and I just add on to Manuel and your question. I said this earlier, but I wanna kinda reiterate it, you know, from an M&A perspective. I do think for us, most likely, M&A course is staying within our current footprint and making sure that we continue to build depth in our markets and plenty of opportunity in Louisiana and Texas. And not to say that one day out in the future we might go east, but it's not a priority at this time. And we built a footprint that we think we can grow. And so I just wanna be I'm not haven't always been clear about that, and so I wanna be clear about that today. And then I think, Matt, you had something you wanna add to Michael's.
Matt Sealy: Michael, so we pulled the organic loan growth figures, kind of comparable figures for that organic deposit. Figure that we gave earlier. So excluding Oakwood acquired loans, organic loans from September 30 of 2024 through March 31 of 2025, would have been $62 million net. That would have been 2.4% annualized. So that's kind of the comparable figures just on the deposit on the loan side.
Jude Melville: Okay. Good. Well, thanks, Matt. And with that, I'll wrap this up. I just appreciate everybody's time, and I appreciate our team's effort to start the year off right. And proud of our results, and I look forward to seeing how we navigate the rest of the year. Every year thus far in my career has been hard to predict, other than we know that it'll be something. And I feel like we're in as good a shape as we've ever been in terms of tackling whatever those some things are. And that's a good place to be. So appreciate your attention, and good luck to everybody else and the analysts for finishing up your calls over the rest of the earning season.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.